José Antonio Ramos Calamonte: Everyone, we're going to start. Sorry, we're starting a little bit late, but we're waiting for some more people to come. But I understand it's a busy morning for you guys. So there might be some more people joining online. So let me welcome everybody to our Fiscal Year '24 Results Announcement and Presentation. So this morning, we're going to be covering basic - more people coming. I want to wait. Okay. Let's start then. Welcome again, everybody. As I said, I understand it's a busy morning for everybody, so we've been a little bit more flexible with timing and so on and so forth. So, we're going to be covering pretty much today, three main blocks. We will go through a CEO update, where I'm going to give you a little bit of an intro. And Michelle Wilson, our Chief of Staff and Chief of Strategy, she will be covering our performance over fiscal year '24 more from an operational and strategic point of view. Then Dave Murray, our CFO will be covering our financial results for fiscal year '24. And then at the end, both Dave and myself will give you a little bit of the outlook for fiscal year '25 and a little bit of color behind that. And of course, at the end, we'll have time for Q&A as we always have. So let's crack on. In ASOS, we have said repeatedly that our ambition is to be a fashion destination for fashion-loving 20-somethings. That means that we have the goal to delight our consumers all the time to make sure that we get more of their time, more of their love and more of their fashion spend of course. Two years ago, we came here probably to the very same place to set out our Driving Change agenda. And in this agenda, we were sharing with you our plans to make ASOS a faster and a more agile and a more profitable, sustainably profitable business. And that require a certain set of adjustments of measures. This is what we call taking the medicine. And we started the journey of doing that two years ago. And obviously, that has taken the last 24 months and obviously and especially the last 12 months to set up the foundations of this journey, to make sure that this journey was set on solid foundations. And that was a journey that had, I'll try to summarize it, a lot of objectives, but if you want to summarize it in three was like we wanted to transform our commercial model to make sure that we were always offering our customers the most relevant and hence attractive product. We wanted to develop stronger relationship with our customers and that stronger relationship is based on inspiration and excitement and not necessarily on promotion and discount. And we were bringing an obsession with continuous improvement and with delivery to make sure that our operations were efficient. And as I said, over the course of the last two years, we've been working on setting up the foundations for this journey. Obviously, that has had an impact on our financials that were not especially attractive, if you want, but it was necessary, it was necessary to have this solid starting point. And today, I'm very happy to say that we feel very confident that we have done a good job in this first step of the journey. In the last 12 months, we have seen relevant achievements that give us the confidence that we're in the right place to move into the step two of our journey. Let me very briefly try to summarize what I think we have achieved over the last 12 months. First of all, we have completely transformed our commercial model and our stock profile. When you are obsessed with selling newness and fashionability to customers, it is very important that this newness is easy to find by consumers. And when this newness is surrounded by a mountain of older stock, it becomes very difficult to do so. That's why at the beginning of the journey, we said we were going to drastically reduce our stock. And in this journey of 24 months, we have reduced our stock from £1.1 billion approximately to £520 million. That is a reduction of approximately 60 million units. Just look at the magnitude of the challenge. 60 million units is one unit per people in this country. That is a titanic change that we have undertaken over the last two years. And we have done it transforming that into cash. We have not burned it. We have not shipped it anywhere. We have been turning that into cash. Obviously, that has an impact on our financials, but the journey is done and we have done it while we were transforming our commercial model. We have changed the way we buy to buy faster, to buy better and to clear as we go. And the reason we have changed the way we buy is to make this change sustainable. We don't want this to happen again. We don't want to sit on the same stock mountain again. And that was very important to do it. And that's why we have been doing both things at the same time. This new model is built on new ways of doing things. And I've been, over the course of the last 12 months, highlighting quite a few. I've been talking a lot about Test & React. I've been talking about Partner Fulfils. There are more. But I think these two are quite relevant and worth mentioning. During the course of the last 12 months, we went from nothing to 10% of our sales being produced by Test & React. So it is a remarkable achievement. And when we go to Partner Fulfils, it was hardly anything at the beginning of the year. Today, it's 5% of our sales of brand partners. It shows the magnitude of the transformation we have been undertaking over the course of the last 12 months. As a result of all these changes, we see that our stock profile is significantly improved. We have now more than 80% of our stock is younger than six months. And we have reduced the older stock by 75%. This change in our stock profile is having an impact on our performance. And we have seen that during the course of the last three months, the newest part of this stock is more -- is easier to spot by consumers. And then the performance has increased by 24% year-on-year with only 6% increase in stock, which means that our newest stock is turning 30% faster and it's having an impact on our profitability. During the same months, our profit per order has increased 19%. So obviously, all these facts give us confidence that we're in the right track and in the right path to deliver our ambitions. The second thing I wanted to highlight is that we have started to transform our marketing model. And we told you 12 months ago that we wanted to go from a more practical approach that was pretty much focused on the bottom of the funnel and on performance marketing to a more strategic approach that it was more full funnel marketing and trying new tools and new ways of approaching our consumers. So during the course of these 12 months, we have worked very hard to improve the efficiency of our lower funnel marketing. We have increased during the last quarter of the year, 18% our ROAS, which obviously has helped us to release resources to invest in the setup of a social marketing engine. We have created a way of working and every month, we are working with more than 1,500 creators to bring to our consumers the excitement and the inspiration of our new collections. And last but not least, I would also like to highlight as an achievement of this year, the focus on continuous improvement. We have spent a lot of time revisiting a lot of our processes to become simpler and with this simplicity to become more resilient and more efficient. During the course of the last 12 months, we have reduced both our variable and our fixed costs to a point that we have been able to reduce our cost to serve in spite of the deleverage of the loss of volume that we have experienced, which I think is a remarkable achievement. That has been achieved through many, many measures, but probably is worth mentioning the efforts we have done on our supply chain and also on the reduction of our returns. With all that, we feel we are in the right moment to start talking about the Phase 2 of our journey. The Phase 2 that is about, as I said before, winning the love, the time and the fashion spend of our consumers by delighting them every day in a sustainable way. And I think this is very important because from the very beginning we said we want to turn ASOS into sustainable growth -- sustainable, profitable growth. Only profitability makes it sustainable. And the way to do it sustainable is to double down on what makes us different or on what we call our right to win, which is pretty much based on the four things you can see on the screen. We can win when we deliver the best and the most relevant product for consumers. We can win when we do it in a differential way, so that we come a destination for style. We can do it when we engage our customers throughout their whole journey and when we offer them a competitive customer proposition. And this is what we're going to do over the course of the next months and next years, but obviously starting next months. We're going to focus on deliver the best product to them. Deliver the best product means we want ASOS to be a fashion-first destination for our consumers, a place where they discover fashion. In order to do that, we will double down on the efforts we started this year, doubling down on Test & React, doubling down on the new ways to bring more attractive brands to make sure that our consumers always have at their disposal the best possible assortment. We will also increase our efforts on becoming a destination for style. How do we sell to our consumers? During the course of this year, we have been investing in our visual language. We have been investing in the development of new features like Buy the Look. 14 million consumers have already interacted with Buy the Look during the course of the last 12 months. We are changing our tech and digital product setup to accelerate our capacity to deliver new features and new ways of interacting with our consumers during the course of the next months and moving forward. We want to accelerate in how do we engage with our consumers throughout the whole journey from the very beginning to the very end. As I told you, we have started the transformation of our marketing model. We are going to supercharge that change with the launch of our loyalty program, ASOS World. That will bring more excitement. It's a loyalty program built on this idea of fashionability and inspiration to our consumers, and we will continue working on offering them a seamless customer proposition. We've worked a lot this year on improving the quality of our deliveries and also on reducing our non-value added returns. And we will continue working to improve our efforts in this direction. This is always underpinned by our if you want obsession of a proper capital allocation and use of resources. And I -- as you know, at the very beginning of this fiscal year, we did a big change in reaching a joint venture with our partner and investor Heartland on Topshop and refinancing all our convertible bond. That has brought additional flexibility on our balance sheet. That is going to create the right platform for all these changes and we will always continue with this obsession of the capital allocation. As a result of all that, I'm very confident on fiscal year '25 and to say that our ambition is to bring a significant improvement in our gross margin of 300 basis points to land on a gross margin north of 46%, an improvement that will be fueled by our capacity to sell more full price. This improvement will generate a significant improvement of our EBITDA of at least 60%, taking out our total EBITDA for the year to the ballpark of £130 million to £150 million, which in absolute terms is more or less in the ballpark of our pre-COVID EBITDA. And we will be capable of producing a neutral free cash flow. So this is pretty much what we're going to be elaborating during the next minutes in this morning. And now I'm going to hand it over to Michelle who is going to give you a little bit more details on our achievements during the course of this fiscal year '24. And I'll be back with you a little bit later.
Michelle Wilson: Thanks, José. So, looking in a bit more detail at what we've actually achieved this year. Last October, we set ourselves three key priorities under the back to fashion strategy. Firstly, in terms of most relevant products, we committed to finishing the job and clearing through old stock and scaling both Test & React and our flexible fulfillment models. In terms of stronger customer relationships, we wanted to reignite our brand heats and build stronger connections with customers. And in terms of reducing cost to serve, we committed to more efficiency in all of our processes and minimizing cost to serve while also improving the customer experience. And over the next few slides, I'll take you through a bit more detail on each of those areas. So firstly, on best and most relevant product, ASOS is now fundamentally a faster and more agile, more efficient business when we started the Driving Change transformation two years ago and product has very much been at the heart of that. We've really been on two journeys. The first journey was about dealing with the legacy of our old commercial model. So, put simply, coming into FY '23, we had too much stock. We had to reset. We had to take a step backwards before we could take steps forward. We cut intake to free up capacity to clear out that old stock. And that meant we temporarily had less newness and less excitement in our product offering. And we can be really proud to say that we've now completed that journey in FY '24. We've halved stock levels from over £1 billion down to £520 million over the last two years. After clearing through as much as we could on site, we completed the journey in Q4 by taking a write-off. We wrote-off the final 100 million of stock. And you can see now from the chart on the right hand side, not only is stock down 50%, but it's much fresher. So 80% of stock that we now have has been on site for less than six months. The second journey is about scaling our new commercial model. So the new commercial model isn't rocket science, but it will very much transform how we operate going forward. It's fundamental to having the best and most relevant product. So what does it actually mean? It means being first of fashion. It means buying better to increase our hit rate and maximizing full price sell through minimizing waste. It means an uncompromising focus on quality and it means disciplined stock management, so giving more visibility to newness and reducing the need for discounts. And we'll achieve all that by being faster and more agile. We'll use more data to better understand trends. And by being closer to the point of purchase when we take buying decisions, it means we can be more accurate and have more relevant product on site. So with our own brands, we can supercharge that through Test & React. And with third-party brands, we're supercharging that by collaborating more closely with partners and rolling out models like flexible fulfillment. The improved speed and agility is all possible because of the long-term relationships that we build with suppliers. So we've consolidated those relationships over the last two years to work more closely with long-term focus suppliers who can maintain high quality at speed. And we're delighted to recently announce [Luis Lopez Rey], we can't pronounce that as well as José could, as our Responsible Sourcing and Quality Director. So Luis spent the last 23 years at Zara where he was responsible for building out their speed and optimizing their supply chain. We're really excited about the improvement and further improvement he can deliver at ASOS. All of those actions will improve our hit rate and give us a greater opportunity to excite customers with every item on site. When an item doesn't resonate with customers, when it's slow moving, we'll clear it quickly, and that means we'll minimize the markdown needed to sell it through. And we'll also maximize the cash generated, which means we can reinvest into new product, more excitement, a better product for the customer. So it's worth reflecting on just how much of a transformation we've achieved in the last 12 months. When we started this journey two years ago, we had a lot of heavy lifting to do. And coming into FY '23, around 50% of our stock was over six months old. We cut intake by around 30% to make room to clear through that excess stock. The heavy discounting has been a major drag on our gross margin over the first nine months of FY '24 and had a negative impact on our unit economics as well. We've ended FY '24 with the hardest of the work behind us now and stock in a really strong position. So we've reduced old stock by 75% year-on-year. We've created much more space for newness. The stock is new and fresh and we scale Test & React and Partner Fulfils to facilitate that. 80% of stock that we have is now less than six months old and it's selling through faster with a higher full price mix. So 15 percentage points better sell-through and 30% faster stock turn. That underpins our confidence in delivering sustainable gross margin improvements in the year ahead. So moving on to our second priority, which is strengthening relationships with customers. We're incredibly proud that we have 20 million customers that have shopped with us in the last 12 months. That number has been higher in the past and we built impressive growth over the last two decades through an ambitious geographic expansion. But that created a wide base of customers globally with a relatively low share of wallet and in some cases, unprofitable customer relationships. The growth engine that we're focused on in the future is about winning greater share of fashion spend from our core customers in our core markets. And that means greater engagement and more excitement to take a greater share of wallet of our core demographic. In the U.K., we already have some pretty impressive stats. In total, customers spend on average £214 per annum with us and returning customers shop with us seven times a year. That's a very engaged customer base, but we know we can do even better. In the U.K., during the initial stages of the transformation, we've experienced two clear headwinds in terms of order frequency and customer churn, which has had a negative impact on those engagement stats. So the 30% reduction in our intake meant that we had less exciting product and less newness for our core customers and the high level of clearance activity detracted from the overall experience and attracted non-core transactional shoppers making one-off purchases. Over FY '25, as we operate fully on the new commercial model, we'll see those headwinds reverse. And outside the U.K. where our brand awareness is significantly lower, so is our order frequency and our average customer spend. And in those markets, we took more action to rebalance the customer proposition and invest into areas that really matter to the customer. So that's meant focusing more on product inspiration, things that customers love, and shifting away from differentiating through things like returns, proposition and delivery. The journey there will take more time to bear fruit, but we believe that creating win-win relationships with customers means we can both improve profitability and drive growth. Those headwinds have also meant that our marketing initiatives are less efficient during the transition period. So we've been driving traffic towards a suboptimal customer experience. Instead, we focused on reducing our reliance on highly transactional performance marketing and transitioning into a marketing model that enables us to deliver our core brand messages and that builds longer lasting relationships with customers. We're able to identify inefficient spend within paid social and affiliate channels and that led to an increase in ROAS or return on media advertising spend of 18% over Q4. And we've also been able to better deliver our brand messages by scaling our always-on influencer program. We now work with over 1,500 influencers per month by year-end. Now that we've built that muscle, we're better placed in FY '25 to deliver great customer experiences both on site and off site to our 20 million customers and beyond. Our final priority was reducing cost to serve through operational excellence. So a key part of the transformation has been simplifying processes, removing wasted time, removing wasted costs, and reinvesting into actions that really benefit our core customer. That focus has meant we've been able to reduce our variable costs as a percentage of sales by 90 basis points in FY '24. That follows 110 basis point improvement in the prior year. And we've also been able to reduce fixed costs by 13% year-on-year. There's lots of initiatives driving that improvement. It's probably worth highlighting the work that we've done in logistics and returns which has helped improve our distribution and warehousing cost ratios by a combined 200 basis points in 2024, while still improving the customer experience. And that's all despite the volume deleverage. We've optimized warehouses through increased automation, so we've reduced our labor cost per unit by 10%. We've also right-sized capacity to match our stockholding and that's reduced fixed costs by 25%. We've optimized delivery partners and we've renegotiated contract rates. We've increased our use of data to improve the quality of the delivery experience, halving the number of orders that fall outside of our planned delivery window. In returns, we focus on improving quality and size and fit to reduce needless pain points for customers. There's still a lot more work we can do there, and you'll remember it's a key focus for us in 2025. But we're pleased to see the progress that we've made already in FY '24, which has delivered an underlying improvement in our returns rate by 1 percentage point. A key underpin for that strategy has been efficient capital allocation, which allows us to invest behind our strengths in a disciplined way and relentlessly remove waste to invest into opportunity. In FY '24, the reduction in stock levels meant that we could exit our Lichfield distribution center. And at the beginning of FY '25, we announced two key updates, which significantly increased our balance sheet strength and our financial flexibility. Firstly, we entered into a joint venture with Heartland to build the future of the Topshop and Topman brands. That means we can continue to play a lead role in the brand's future while also reducing the level of capital deployed. And then secondly, we successfully refinanced the balance sheet, reducing the net debt position by £130 million through extending our term loan and the majority of our convertible bonds out to 2027 and 2028 respectively. We'll continue to operate with rigorous commitment to generating strong return on any capital that we deploy. So to recap before I hand over to Dave to run through the financials, in FY '24, we've made significant progress in our transformation and really laid the foundations for sustainable profitable growth. We're entering FY '25 with our stock in a great position, right-sized with the right level of newness. We're really pleased with the performance of our latest collections, turning quickly and selling through at full price. We've hit our targets on scaling Test & React and Partner Fulfils. We've improved our unit economics and reduced fixed costs to build strong profitable foundations. And we strengthened our balance sheet with the Topshop and Topman joint venture and refinancing. I'll hand over to Dave.
Dave Murray: Thanks, Michelle, and thank you everyone for joining us. It's great to be presenting today with my first set of results. For consistency, the summary slide details some of the key metrics that we use to highlight our performance in financial year '24. And as indicated in early September, our sales were back 16% on the year on a like-for-like basis as we cycle through the profit actions taken over the last 12 months and the lower intake of new products. Gross margins were impacted due to the heavy discounting to clear our older stock, primarily across the first half. However, the other side of this was seen in our free cash flow performance which was positive for the year as we cleared through this inventory. Looking ahead, we will recover gross margins due to the elimination of this age stock and the higher gross margin delivered through our new commercial model. I'm especially pleased with our performance on cost to serve being our adjusted operating expenses prior to depreciation amortization as a percentage of sales which reduced year-on-year despite the volume deleverage and the impact coming from marketing. This was achieved through a focus on both our fixed and variable costs as Michelle has just highlighted. Overall, this has resulted in an adjusted EBITDA of £80 million for the full year, the top-end of consensus expectations despite the decline seen in sales during the year. We exceeded our inventory target of £600 million, due to the disciplined, clearance -- disciplined and focused clearance of stock management throughout the year and the final stock write down at the end of the year, which enables the full transition to the new commercial model in FY '25. Our positive free cash flow performance reflects the hard work done to improve our cost to serve and release cash from the excess stock, both contributing to the £22 million net debt reduction from the same time last year. Our key strategic indicators were introduced at the half year results and these are intended to offer a more up-to-date reflection of how we're thinking about running the business and our progress. Test & React, as already mentioned, is a key part of our new commercial model which has surpassed the 10% target of our own brand sales for the year, doubling over the year and from a standing start two years ago. Likewise, flexible fulfillment, encompassing both Partner Fulfils and ASOS Fulfillment Services, has doubled to reach 5% of our partner brand GMV over the same period. Adjusted gross margin is back 80 basis points year-on-year and 20 basis points on a two-year view, primarily due to the discounting of the old and age stock which we expect to improve into FY '25 as we annualize the transformation and see the new full benefit of our commercial model. Cost to serve has fallen as previously described, with our variable contribution per order now up 5% year-on-year and on a two-year view, we are up 28%. All of the changes we've made have resulted in our stock working much harder. Stock turns are now up more than 30% year-on-year, as we improve the quality and reduce the volume of the inventory that we're holding. Turning to our segmental performance where you can see the headline numbers reflecting the continuation of variations highlighted in previous results and the impact of the profit actions that we've taken across the different regions as we look to ensure that we can be sustainable profitable going forward. The U.S. and the rest of the world have experienced more pronounced impact on sales than the U.K. and Continental Europe, given the tougher actions that we've taken in these regions to make sure they become more profitable. Across the U.K. and Europe, consumer sentiment, promotional environments and the wider market backdrop has been the main differentiating factors. Looking now at gross margins, the slide shows the impact of the medicine that we've taken and the scale of the discounting that's been required for us to clear through our old stock. Overall, adjusted gross margins are down 80 basis points with the impact of markdown around 100 basis points across the full year, with most of that impact being seen in half one and further headwinds from FX. The improvement across our inbound freight rates within our supply chain partially offset a large proportion of this headwind, mirroring the success of our cost to serve metrics. And additionally our revenue streams, including AMG and Partner Fulfils have also been slightly accretive to our gross margin. Taking the same chart, but looking specifically at Q4, you can see a slightly different perspective. The key things to call out here is that we completed our stock transformation. We started to see the first year-on-year markdown improvement since the beginning of our Driving Change agenda. This saw a positive contribution from a higher mix of full price sales, and we expect this to become increasingly apparent as we progress through financial year '25. As mentioned previously, I'm also really pleased with the cost savings that we've made to reduce our cost to serve against the backdrop of the falling sales performance. During the year, we delivered an 80 basis points improvement in distribution costs and 110 basis point improvement in warehouse costs as a percent of sales, resulting from the actions taken in FY '23, including the closure of excess facilities, but also the new initiatives that were introduced in FY '24 such as the renegotiation of delivery partner contracts across each of our major regions and better use of data to reduce the number of orders missing our customer delivery promise. While marketing and other costs have increased as a percentage of sales by 110% and -- 110 basis points and 70 basis points respectively, you can see that both have fallen in absolute terms. During the second half of the year, we've made a number of optimization improvements in our performance marketing model allowing us to improve the return we're now delivering from this investment year-on-year. Overall, the net impact on our cost to serve activities are having -- it reduced to 40.7%. In concluding, our underlying financial results highlight how our strong performance across the variable and fixed elements of our cost base was able to offset the significant proportion of volume and rate trade headwinds that were required to navigate as we worked through our old inventory and the impact of our actions to improve our underlying profitability. Touching briefly on the adjusting items, the two main items here are the closure of the Lichfield fulfillment center, which we announced along with our FY '23 results and the final stock write-down that we've processed at the end of FY '24. These account for £142 million and £93 million of the FY '24 adjusting items. It's also important to note that these adjusting items in the period, 90% of this is non-cash with only £20 million being the final settlement in relation to the completion of the automation at Lichfield. Finally, on free cash flow where we generated £38 million of free cash, an improvement year-on-year of over £250 million. Our strong performance in relation to clearing through our old and aged inventory during the year enabled us to release the significant amount of working capital that was previously trapped on our balance sheet. Bridging from adjusted EBITDA to free cash, you can see that the largest items relate to both working capital and CapEx. CapEx of £133 million is down 25% year-on-year and includes £17 million in relation to the Lichfield fulfillment center, which was previously mentioned and subsequently impaired. The remaining spend is roughly £50 million in the investment in supply chain and £80 million of tech CapEx where we've invested in areas such as Test & React, flexible fulfillment and other improvements to our customer experience. Together with interest and other movements, this resulted in a reduction of our net debt of £22 million in the year to £297 million at the year-end. Also, as previously mentioned, at the beginning of FY '25, we announced the comprehensive refinancing with the formation of the Topshop and Topman joint venture. The combined impact of which was to reduce our net debt by about £130 million, significantly strengthening our balance sheet. And on that note, I will hand back to José.
José Antonio Ramos Calamonte: Thank you. Thank you, and good to see you again. I'll try to be brief because I know you guys will probably want to make some questions, so we will certainly give you enough time to do so. So let's talk a little bit about fiscal year '25 and what is coming now. And as I said before, our ambition is that or our vision is that we are starting the second phase of that transformational journey. And this is the time to plant the seeds for the future of ASOS or to continue planting the seeds. And as I said, our ambition is to be a destination for fashion, for fashion-loving 20-somethings. And that requires delighting them every day to get more of their love and time and fashion spend share of wallet, if you want. And there is only one way to do that sustainably and this is to double down on what makes us different, as I said before, which is as you see here, offering them the best product, being a destination for style, offering this product in a different way, engaging in every step of the journey and doing that with the right customer proposition and underpinned by our discipline and our cost efficiency. That is the right way to doing it sustainably. There are no shortcuts. The way to do it is to do the right things all the time for consumers. As I said before, I am very confident that we have set up the right foundations to do so now and that's why I am so optimistic right now. What I would like to share with you now briefly is two things. First is why I'm so optimistic and if you want to give you a little bit of a color on some of the seeds we are planting for growth, I will not give you all, no worries, will not torture you for that long but some of the seeds. Let me start by why I'm so optimistic, and there are a lot of reasons, but let me try to summarize it in three. Number one is, as we said before, our stock is in the best position we have seen for many years. And we have seen that that is creating some positive benefits. We're seeing newness growing 24%. And that is incredibly important. And that is the outcome of a lot of actions, as I explained before. But it's not the only one. There are more reasons why I'm optimistic. The second one is that I see the outcome of the new culture of agility, speed, delivery, continuous improvement and how this is having an impact on ASOS and our daily operations. And just to give you some examples, we have during the course of the last 12 months, set up a completely new way of doing things like Test & React. That is an example of agility, that is an example of speed. We have done an amazing job with cost. That is an example of continuous improvement and rigor. And we are transforming our digital and tech model. That is an example of this agility and this boldness to do different things. And this new culture will continue bearing fruit for ASOS, not over the course of the next 12 months, but moving forward. And if you want the last -- if you want reason is, I see that a lot of the benefits, a lot of the effort to create, if you want, this obsession with the right capital allocation is working. We are moving resources from one type of costs to invest them into things that will get better fruit or obviously the whole refinancing. I think that when you put all these things together, it creates a very positive -- a very positive feeling in the whole team that we are in the right moment to really get into where we want it to be. Let me give you a little bit of color on the stock. And I know this has been -- we have talked a lot about stock for the last two years and probably to -- no, not probably to put an end to it. I would like to show you in numbers the journey we've been to, because I told you before, that has been a titanic enterprise. And I think it's probably easier if you see the numbers. This is the evolution of our stock over the course of the last two years. You will see in purple --sorry, I'm color blind, believe it or not. So I hope it's purple. Purple is the total stock. I think red is the old and green is the new, which is quite appropriate, actually, that green is the new. And you see that by the end of fiscal year '22, we were reaching our maximum level of stock, probably historical maximum level of stock, as an outcome of the fact that we're not capable of selling all the old stock we had. You can see that at that point in time, the old stock was significantly higher than the newer stock. And as a result of that, we said -- we shared with you our Driving Change agenda and you know how important the stock was. But there were many things behind that. And one of the things we did immediately was to cut intake to have less newness, because the way to reduce stock is also to reduce the intake, to reduce the inflow. We came with a very aggressive reduction of 30% during the course of fiscal year '23. And you can see in the green line, how the green line drops dramatically. And we've been keeping very low intake or very reduced intake until we have seen that the stock was in the right place. And now you see how finally we have started to ramp it up again. And that has taken us since that moment till Q4 to slowly deal with the old stock. And that is the reality. That's how we did it. We transformed it into cash. As Dave was saying, we have generated £150 million more than last year. But there is no secret. The secret is that we have been able to turn all this old stock into cash. And it's only at the end of last fiscal year, during the last quarter, the last three months, where we have been able to see that we were in the right place. But what has been the impact of this stock profile in those sales? Well, here you see the same colors representing the sales from old, new and total stock and you see how these sales have been impacted. The end of fiscal year '22 and beginning of fiscal year '23, the biggest driver of our sales was old stock. That is the reality. It was old stock. We were generating more sales from old stock than from new stock, which is a little bit of a contradiction for a company like us, but that was the reality. We came with reduction of new stock and obviously, the sales generated by new stock plummeted because there was significantly less. There are no secrets there. And then it has taken us a long journey to digest the old stock. And you see how during the course of fiscal year '23 and '24, we have been going through the peak of the pain to deal with that. It's only at the end of fiscal year '24, where we have felt we were in the right place and where we have executed the final change -- the final adjustments. And suddenly we see, and it's not magic, how the newness is starting to produce much more sales because it's more visible, because consumers can find it better and then we have started to ramp up newness. And that has -- that is one of the reasons behind our -- my and our optimism, because we see how this works. It's not magic. It's just like consumers are exposed to most relevant stock and then they buy it. And then they buy it full price. This is when I say that we want sustainable growth, that's what I mean, is generated by full price sales. And this is the part of the growth that we really care rather than trying to find shortcuts and accelerating promotion. Let me share with you now some of the color behind how do we plan to delight our customers. Obviously, as I told you, and I'll try to accelerate a bit, our ambition is to be this fashion destination to delight our consumers every day. We are doing a lot of things. We're planting a lot of seeds. Let me highlight four of them, if you want. There are many more. One is speed. And as we told you, speed is critical because we want to be a destination for fashion. We want to be the place where customers come to discover fashion, and that is done through a lot of tools. One of them, obviously, is having the best possible fashion on our own brands. And in that sense, Test & React plays a critical role. So I'm going to try to give you a little bit of color how Test & React works, has worked and our ambitions for this fiscal year '25. But our own brands is 50% of what we do. We also sell a lot of other brands, the best brands in the market. How can we bring this spirit of agility and speed to these brands? Well, we are doing that in a different way. We're doing that by sharing more and more data with them, so that they can react and adapt and see the trends earlier and adapt to those trends. We're doing that by creating collabs with them. Collabs where we co-create product or we co-create assets that are more relevant to consumers. And we're doing that through the new business models that we have with them, Partner Fulfils, ASOS Fulfillment Services where it's easier and faster to adapt supply and demand. And we also try to give you a little bit of color of where we want to go there during the course of this year. Let me talk about Test & React. As you know, Test & React is critical, we have said it a thousand times and there is one more. And this is the model where we can go from design to shelf in less than three weeks. Obviously, this model has a lot of benefits. We only produce a small run of 100 units. We see the reaction of the consumers. And with the reaction of the consumers, we decide whether we should react. And this reaction can be a repeat or can be a reaction. And I'll explain what I mean with that, and then sell more of that. That generates a lot of benefits. On one hand, we are offering consumers what they really want because if they don't buy the first 100 units, we stop it, we don't produce anymore. And the other one is like, since we're producing what they really want, they buy it at full price. We get a healthier business and there are no leftovers. So it's a business that produces higher margins. What we have seen is that during the course of this fiscal year '24, we have gone from nothing to 10%. And when you have to move a rock, it's also difficult to get momentum. But once you get momentum, it's easier. We've gone from nothing to 10%. So we have done already the most difficult part of it. That has been a big effort. That has meant changing the way we buy. That has meant buying fabric in advance. That has meant revisiting all our processes to simplify, to accelerate. That has meant establishing relationships, new relationships with suppliers. Finding new suppliers is not that easy. But it's been a titanic effort and it's been done. And now 10% of our sales are generated by Test & React. Sales that are more profitable, as I said, but the sales that attract younger consumers, consumers that are more active on social media and consumers that have bigger baskets. So it's clearly a flywheel -- a positive flywheel that is coming. We produced 10%. Our ambition for next year is to double to 20% of our sales of our own brand. How does it work? And I'm going to try to bring a little bit of color, bring it to life with any specific item. The one you're seeing on screen. This leopard top is one of the items we tried this summer. We sold it out in a day, so we decided to repeat. This is one of the possible reactions. We repeated this top 12 times during the course of the season to sell 15,000 units in the same color with zero discount. But the reaction goes beyond the repetition. It also implies bringing other options that are similar, bringing new colors, bringing new prints. During the course of this season, we have brought nine different options of this top to sell additional 30,000 units with an average discount of 1%. That is the beauty of Test & React. That is one of the things that brings and clearly our ambition and our commitment is to double its presence in our operations for this year. But we're also bringing this spirit to our brand partners and we're bringing this spirit in a set of ways. Obviously, as I told you, our ambition is to be a destination for fashion where people discover fashion first. And that requires a continuous update of our brands. We're continuously bringing new brands. We have brought this year more than 50 brands. Some of the most well-known are Arket, LANEIGE, Veja or Mango Man, but it's up to 50. And when we do our job, our customers love it and they react. The trench coat you are seeing on screen is a trench coat from Arket, £169 sold out in two days. So it shows that when we are doing our job and we're bringing it and showing it to them in the right way, they react accordingly. As I told you, we are accelerating our cooperation with these brands through a set of means. One of them is these new business models like Partner Fulfils. Last year, we did 5%. Our ambition is to double again during the course of this fiscal year '25, doubling by adding new brands. We're adding brands like Dyson or Ann Summers, but also by going deeper in the relationship we have with some of our core partners, like Adidas or the North Face or Tommy Hilfiger or New Balance. Just to illustrate the power of this business formula, one of the examples is adidas Campus last year. So adidas is one -- is a very, very core partner in this journey of creating a fashion destination. And we have a great relationship with them. And as such, we got a great allocation of adidas Campus that we sold out really fast. And then we started selling their stock. It allowed us to sell 60,000 additional units of adidas Campus at full price due to the fact that we have these new formulas. So clearly, these new formulas are helping to adapt supply and demand, are helping us, are helping our partners, and are helping serve our consumers better. The second thing that I wanted to share with you is customer experience. As I told you before, it's not only what we sell, it's how we sell it. And we've been working a lot during the course of this year with new visual language, with new tools or new features like Buy the Look. I'm very happy to welcome Anthony Ben Sadoun, who's our new Executive Vice President of Digital Product. And with his arrival, we have decided to completely transform our digital product and tech setup, moving to smaller units, end-to-end ownership focused on what matters to customers, things like loyalty or personalization or the development of Topshop.com. This change we have gone to a simpler, leaner organization and that is allowing us to increase the amount of software engineers by 100 in a cost neutral way, increasing our capacity to deliver new features by 25%. And obviously, this acceleration of new features is going to create better and stronger relationship with our consumers. Another thing that I wanted to mention is Topshop. As you know, a British iconic brand we bought in 2021. It has taken us long to take Topshop where we wanted it to be, but during the course of the last month, we felt that it was the right moment to accelerate the growth of Topshop. And this is where we decided to go for the joint venture that we just closed recently in September. This joint venture is going to help us accelerate the growth of Topshop because we feel there is an opportunity -- a significant opportunity to grow Topshop way beyond its presence in ASOS. In that sense, we're going to do a set of things. The first thing is that we're going to create a platform for Topshop to express itself, Topshop.com that will be launched during the course of this fiscal year. And on top of that, we are going to work very closely with our partner who has a great expertise on the wholesale space to accelerate our global growth on wholesale. Additionally, internally, we are creating an end-to-end team that is going to have full ownership of Topshop, becoming our first AFS, full AFS brand within the ASOS platform. And we are pretty sure that this is going to accelerate and take Topshop to its full growth potential. And last but not least, I wanted to have a word on unnecessary returns. We do believe that returns play a role in the digital space. As I have always said, we do offer the possibility of free returns to all our consumers. But there are certain returns that are not generating any value to consumers or to us every time the product is not up to the expectations of the customers. This is an unnecessary return that we want to tackle. We have been working this year very hard to reduce those returns. We've been working through better communication of sizes, better consistency of our sizes, better pictures, but also the use of AI tools to immediately anticipate when there are problems and change the designs and actually benefiting on our faster capacity to produce. There are clear examples, for instance on the dresses space, where we have been modifying dresses during the course of the season to reduce the returns. And as we have shared before, we have reduced our returns by 1% this year and we're going to double down our efforts in this space to continue this journey. With that, I'm going to hand it over to Dave who's going to share with you how all this is going to show up in our guidance and then we will move into questions. Thank you.
Dave Murray: I'll be quick just for good order to make sure it's covered and also make sure I give you time for questions at the end. So just quickly running through FY '25 guidance before turning to how we expect this to change for ASOS in the medium term. FY '25, we expect the benefits from the commercial model that we've all talked about to start to become increasingly apparent. The result of that will be that our gross margin improvement is expected to be at least 300 basis points to more than 46%, driving an incremental improvement in our full price sales to bring that through on our commercial model. We expect adjusted EBITDA growth of at least 60% to between £130 million and £150 million after the impact of the drag that we'll see from the Topshop JV, driven by both the gross margin improvement and us continuing to focus on managing our cost to serve. As mentioned, as we move through FY '25, the growth in the new full price stock will continue to drive profit, but we'll still get a drag on our sales performance with fewer sales of our old stock until the point that we annualize this in the second half. As such, we are comfortable with the current consensus range for FY '25 and expect a continuation of the current negative growth trends in half one, but improving throughout the year. Overall, we expect cash flow to be broadly neutral in FY '25, but I want to take a moment just to say why we're confident about how we're going to scale this and continue to move to driving sustainable, profitable growth in the medium term. We've already seen the green shoots in our performance on our new stock in recent months, which gives us the confidence that our new commercial model is delivering customers the right product at the right time. This will be the driving force behind our gross margin improvement which will edge back towards the 50% in the medium term. The relentless focus on operational efficiencies and optimizing our cost to serve laid the foundations to be able to deliver future growth without sacrificing margins. And this will enable us to rebuild EBITDA margins sustainably back to 8% and beyond. And our disciplined capital allocation means that we will continue to drive CapEx down to our target range and reduce interest costs over the time as we reduce our net debt levels. I'm confident that we have something extremely unique to offer our customers and the coming years we can return to growth, while generating meaningful sustainable free cash flow. Yes. Summary, we're all proud of the transformation. Hopefully, we've provided you some helpful insights into the journey. With the right foundations now largely in place, we're excited about what's ahead in FY '25. But on that note, I'll hand over to the room for some questions. Given time, if we are able to limit to one where possible, we might be able to get through some of them. Thank you.
A - José Antonio Ramos Calamonte: Do you want the mic?
Anne Critchlow: Thanks. It's Anne Critchlow from Berenberg. I'd like to ask a question on Test & React, please. So I'm wondering if 30% is the ceiling. I think you're already higher than that in certain categories. And also if it is 30%, it'll only be 12% of total sales. So do you think you could go further? Why not 100%?
José Antonio Ramos Calamonte: Well, thank you for the question, Anne. 30% is the target we place ourselves. It could be more, maybe, but we're going after this target right now. It will never be 100%. It will never be 100%. And I think we already discussed that before because of the character of certain categories is very difficult or impossible to do them under Test & React. But we're not limiting ourselves to anything. We will go as far as we can. I think that if you want the biggest piece of news is that now this is real. Last year, we're talking about our project. This year, we're talking about our reality and we will keep on pushing as much as we can.
Yashraj Rajani: Hi. It's Yashraj Rajani, UBS. Thank you for taking my questions. So would really like an update on the ASOS own brand versus the non-ASOS brand business. I mean, how has that fared in terms of gross margin, in terms of also the leftover stock? I mean what percentage of that is ASOS own brand versus non-brand, please? Thank you.
José Antonio Ramos Calamonte: Well, thank you for the question. The performance during the course of this year, for instance, some of the areas that have performed better are ASOS DESIGN womenswear has performed very well and also during the course of the last four or five months, also ASOS DESIGN menswear has performed very well. So we are very satisfied how these divisions are performing and part of it obviously will be supported by Test & React. But we have also seen that womenswear third-party brands has performed quite well. So to be honest, during the course of the year, rather than our own brands versus our brand partners, there are certain brands that have performed very well. ASOS DESIGN is a good example. Some of the external brands we have double sales with Mango, to give you an example, or with adidas. So it's more brand by brand rather than our own brand versus third-party brands. But right now, the performance is good on both sides. We're quite satisfied. And the leftovers are pretty much similar. There is not any specific problem on any specific area.
Yashraj Rajani: Yes. And just a quick question on the Topshop and Topman disposal. So are you baking in any sort of revenue growth or expecting to see an acceleration in sales in this fiscal year as a result of that? And sort of relatedly, do you see that those disposals affecting your distribution footprint at all?
Michelle Wilson: So in terms of Topshop, Topman, we really pleased to sign the joint venture with Heartland. We very much believe that Topshop and Topman are iconic British brands that deserve a life outside of ASOS as well as having the amazing traction that they have with customers on the platform. So the huge benefit that we get from that joint venture is that Heartland, with their wholesale and offline expertise, particularly in Europe, can help us grow Topshop's presence further. And then we've also, as we've already announced, ASOS will launch Topshop.com this year. And we'll also explore different routes to market in -- particularly in the U.K. and North America. So there's very much growth in Topshop and Topman's future. In the current year, the kind of main impact that we'll see from the transaction is the impact of the structure of how Topshop is owned now. So the fact that we pay a commission rate into a [netco]. So that will be the main impact in the current year. But beyond this year, then we do expect growth in those brands.
Mia Strauss: Mia Strauss from BNP Paribas. Just on the revenue growth outlook, you say you're comfortable with the range of minus 9% to plus 6%. And if you look at the graphics of your old inventories, materially lower your new inventory selling well. What makes you -- like what is justifying this wide range, if you say that newness is doing quite well?
Dave Murray: Yes. Just to clarify size on the newness in the graph is three months. The 80% is inventory under six months. It's not the same data. Just to make sure that you're clear on that. And I suppose our focus at the moment is making sure that we can be like continually be sustainably profitable. And we are confident in the profitability improvements that we're making and the strengthening that we've done to both our product and what we're providing for our customers. We've guided to the EBITDA range, and we believe that we can deliver the £130 million to £150 million or confident we can deliver £130 million to £150 million range that we put in EBITDA. I suppose our point is that we are not going to let that be pushed either way by the revenue growth and we're going to do the right things to make sure that we can deliver the profitability rather than chase after any specific sales.
José Antonio Ramos Calamonte: I think if I may build on that really fast. I understand we're late. Our obsession has been to do the right things during the course of this year and we have delivered, delivered the stock reduction, growth of Test & React, growth of Partner Fulfils, positive EBITDA, positive cash flow, reduction of debt we have delivered. Do we have the right platform to grow? But we have to do the right things. We don't want to take any shortcuts. We could now ramp-up promotion and accelerate growth, but that would be potentially going back to square one. And this is not what we want to do. We want to do the right things. We want to win our consumers by giving them the best priority in the best way. And sometimes that takes time. But we want to do it right.
Andy Wade: Hi there. Andy Wade at Jefferies. Just a couple of quick questions on the stock write-off side of things. Presumably, a lot of the stock that was written off as a result of the new testing that you did would have been sold in FY '25. That would be the plan, presumably. Is that correct? That's not my full question, but yes. And on that basis, then I suppose before you undertook this new testing and realized you were going to have to provide against that stock, those trading losses, that £100 million would have been carried through, recognized as the stock was sold in FY '25. So up until the point when you recognize that provision, were you expecting an EBITDA in FY '25 of around the £40 million mark?
Michelle Wilson: Maybe it's helpful to, I guess, run through what we've done with the stock transformation. So we entered FY '23 with 1.1 billion of stock, as you know, with probably about double the stock that we thought we needed. And effectively that stock had built up under the old commercial model, because under old model, we weren't taking the profit hit of clearing stock as we go. So at that point in time, we looked at the stock levels, it was too much stock to clear through ASOS channels. It was much, much too great volume. So at that point in time, we wrote off the worst of it. So we wrote off, I think £130 million. And it might not be the exact number, but it was there or thereabouts. And then we said, okay, we'll clear through the rest of the stock. On the ASOS side, it absolutely was not the best stock for our customers. It's not fresh, it's not new, it's not exciting product. That meant it had kind of two impacts. Firstly, we had to cut the intake of fresh and new that we should have been bringing in to clear through that stock. Secondly, we had heavy discounting, which is the gross margin and the profit impact that you've seen in our numbers that we've reported over the last two years from significant levels of discounting. It did mean though, that we generated cash because we were effectively selling stock that we'd already paid for. So when we started FY '24, what we said was we would finish the job that we had started on clearing through that stock and that we would generate cash. And we've delivered on both of those things. So we generated £38 million in cash this year. That's a £250 million improvement year-on-year. So we're really happy with the position that we're in from stock now. In terms of the impact that it had on EBITDA in the period, there was no direct impact on adjusted EBITDA. Obviously, there's an impact on reported EBITDA, but that's non-cash. There is an indirect impact on adjusted EBITDA and that's the fact that we can now sell more newness, we've got visibility of newness again. We've put ASOS back into a normal position. And so, we have seen really strong performance of sales and newness. We reported this morning 24% year-on-year growth in new stock of just 6% more inventory. So that there is an indirect impact in profitability. That's what gives us the confidence as we look forward and we've now got the right stock position, having gone through two exceptional years. Looking forward, we've got the right stock position to be able to commit to a 60% improvement in EBITDA in FY '25.
José Antonio Ramos Calamonte: Just to clarify that then, so you would have had to recognize that if you haven't discovered the new -- the result of the testing was that you're able to recognize £100 million provision, got that windfall if you like, you'd have to -- you have recognized as trading losses those -- the £100 million provision in FY '25, and you wouldn't have performed as well in the core business. So you would have been doing even less than £40 million of EBITDA.
Michelle Wilson: I think there's all sorts of decisions you can take as a retail business. Obviously, the reason that we had that stock in the first place is because it wasn't sold through and it was kept in a warehouse and it was expected to sell through later. So, yes, we could have kept that stock in the warehouse. We could have sold through it at any point in time that we wanted. And we don't know what profit we would have delivered from selling through that product at whatever point in time. But we got to the point where we had the volume that we were confident we can clear off site. That's very much the right thing for our customers, we shouldn't be selling old product. That's not what customers come to ASOS for. So we reached the point where we felt actually that product can be sold through external challenge -- channels, we can now get back to selling newness on ASOS.
Andy Wade: Okay, cool. Just one quick follow-up. Stock you talked about 80% is now the newest stock, less than six months old, but I'm guessing that's on a value basis rather than a units basis.
José Antonio Ramos Calamonte: Yes.
Andy Wade: Yes. So that would have benefited from the stock write-offs that you've just done as well. And the stock that you've got that's been written off will be of much lower value. So I'm guessing that 80% value is more like 60%. So 40% still age stock at volume terms.
Michelle Wilson: It's on COGS basis, right? So it's on cost basis. So there's not a huge difference between…
Andy Wade: So, it's a COGS basis.
Michelle Wilson: Balance sheet value. Yes.
Andy Wade: Right, okay. Fine. We'll be at that value. Balance sheet value of the stock that you've written down will be much lower than it was.
Michelle Wilson: That's written-off. So that stock isn't in the 100%. So 80% of the stock that we have currently on the balance sheet is new stock and 20% is stock that's over six months old.
Andy Wade: Including that, that's been written-off?
Michelle Wilson: That's written off. That's gone.
Andy Wade: But you've still got still in the warehouse, right?
Michelle Wilson: At zero value.
Andy Wade: Yes. So stock that you've actually got in the warehouse at the moment, units wise, is a lot more than 20%, right? Which is old stock, because...
José Antonio Ramos Calamonte: Yes. That's...
Andy Wade: All this stock which has been written off. So it's more like 40%. 30%, 40%?
Michelle Wilson: Yes. In terms of balance sheet value, in terms of the £520 million that's on our balance sheet at the moment, 80% of that is new on a unit basis. In terms of the £520 million, the mix on units will be the same. In terms of the stock written off, that will be taken out of our warehouse and sold through external channels.
John Stevenson: John Stevenson at Peel Hunt. If we're making sort of mid-20s contribution now at a group level, how does that differ between the three core regions at the moment? And to what extent is that structural, and to what extent is there a lag through Europe, the U.S. and are you deliberately focused on the core U.K. customer? And how do you think you can close that over the next year or so?
José Antonio Ramos Calamonte: Well, we have seen a big evolution of our contribution. Especially, let's focus on the Top 4 markets. We have seen a big evolution in all of them. So obviously, the U.K. is very profitable. Europe is pretty much at the same level. U.S. has improved significantly over the course of the last two years. So we feel very comfortable that we have taken, as Dave referred before, the right medicine to take things to a much better place. So it's not that our U.K. operations are so much more profitable that they are subsidizing the rest of them. They all are profitable and they all are contributing. Not the same level, but it's getting closer and closer.
John Stevenson: I guess by definition there is a gap -- a bigger gap let's say in the U.S.
José Antonio Ramos Calamonte: The U.S. has become much more profitable. It's not at the level, but I wouldn't say it's a bigger gap. The gap is getting closer and closer.
John Stevenson: [indiscernible].
José Antonio Ramos Calamonte: Yes, I would say, yes. Yes. Obviously, the U.S. will benefit with more and more volume, us everywhere by the way. But even with the current volume, the U.S. is at a very healthy level of profitability.
Sarah Roberts: Hi. I'm Sarah Roberts from Barclays. It would be really helpful if you could talk through your free cash -- adjusted EBITDA to free cash flow bridge, especially if you come in at the lower end, that 130, I believe you're guiding to £130 million of CapEx plus £35 million of cash interest costs. Just curious to know the moving parts that get you to that broadly free cash flow neutral at the lower end of EBITDA. And I suppose follow on from that, if profitability comes in a little bit on the lower side next year, what levers do you have at your disposal to kind of make sure you hit that free cash flow break even target or neutral?
Dave Murray: So broadly, cash flow neutral, if you take the EBITDA guidance along with the two things that you referenced, both the CapEx and the interest. The other two things that need to be brought into that are both the lease payments that we'll make in the year and continued working capital improvements that will come through and that gets you to the right range. The working capital improvements will continue to come through because actually in driving a much higher margin that's coming through from our new improved commercial model. The actual volume of units that we'll be holding to sell through that will be less actually. So there's still a bit more that drops out from a working capital benefit in the year.
Michelle Wilson: Time for one more.
José Antonio Ramos Calamonte: We have one here.
Unidentified Analyst: Thanks. So we heard from the BRC this morning and Zalando that the trend was a bit weaker into October compared to September. I'm just wondering if you saw that same pattern or whether there's enough going on at ASOS to have softened that a little bit for you.
José Antonio Ramos Calamonte: That's a great question. I think September was very good. Well, I think, no, it's a fact. This is me translating. Sorry. September was very good and obviously driven by weather. Weather was much colder than last year. And last year, if you want, the weather pattern was the other way around. Then October was colder and that made an acceleration. And then year-on-year, October has not been as good as September. We're still happy with our performance. We think that there are a lot of interesting things happening at ASOS and we see still our units performing well. So we are not worried. But certainly, I would say market-wise, we have seen a big change between October and September. So yes, I think that will confirm what Zalando has said.
Unidentified Analyst: Right.
José Antonio Ramos Calamonte: Thank you so much, everyone. As always, it's our pleasure and looking forward to the next time we're going to be together. Have a nice day.